Operator: Good morning, ladies and gentlemen. Welcome to the Kinaxis Inc. Fiscal 2024 First Quarter Results Conference Call. Currently, all participants are in a listen-only mode. following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up your questions. I’d like to remind everyone that this call is being recorded today, Thursday, May 9, 2024. I will now turn the call over to Rick Wadsworth, Vice President of Investor Relations at Kinaxis Inc. Please go ahead, Mr. Wadsworth.
Rick Wadsworth: Thanks, Operator. Good morning. And welcome to the Kinaxis earnings call. Today, we will be discussing our first quarter results, which we issued after close of markets yesterday. With me on the call are John Sicard, our President and Chief Executive Officer; and Blaine Fitzgerald, our Chief Financial Officer. Before we get started, I want to emphasize that some of the information discussed in this call is based on information as of today, May 9, 2024, and contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release, as well as in our SEDAR filings -- SEDAR+ filings. During this call, we will discuss IFRS results and non-IFRS financial measures, including adjusted EBITDA. A reconciliation between adjusted EBITDA and the corresponding IFRS result is available in our earnings press release and our MD&A both of which can be found on the Investor Relations section of our website, kinaxis.com and on SEDAR+. Participants are advised that the webcast is live and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations section of our website. Neither this call nor the webcast archive may be rerecorded or otherwise reproduced or distributed without prior written permission from Kinaxis. To begin our call, John will discuss the highlights of our quarter, as well as recent business developments, followed by Blaine, who will review our financial results and outlook. Finally, John will make some closing statements before opening the line for questions. We have a presentation to accompany today’s call, which can be downloaded from the Investor Relations homepage of our website kinaxis.com. We will let you know when to change slides. Before I turn the call over to John, I am excited to announce that for the first time we are making our Annual User Conference, Kinexions, open to investors. It will take place from June 17 to June 20 in Miami. You can review event details at kinexions.com. And if you are interested in joining us, please reach out to me directly at rwadsworth@kinaxis.com before registering as we do have capacity limitations. Over to you, John.
John Sicard: Thank you, Rick. Good morning, everyone, and thank you for joining us today. I will be starting with Slide 4. We delivered solid results for the first quarter, including $119.4 million in total revenue or 18% growth, $73.4 million in SaaS revenue, representing 16% growth and a 19% adjusted EBITDA margin, which is a very strong result. As we have committed to on recent calls, we are heightening our focus on profitability and we have taken another important step towards that goal recently, which I will speak to shortly. Moving to Slide 5. One of the great privileges of working here at Kinaxis is being able to talk about how our industry views us. Hopefully, you had -- you have had the opportunity to see the latest Gartner Magic Quadrant for Supply Chain Planning Solutions, which was launched a couple of weeks ago. Of the 20 vendors evaluated, Gartner positioned Kinaxis highest on our ability to execute, making the company’s tenth consecutive Leaders Quadrant within the report. We occupy the top right corner while only one of three competitors we see most is in the Leaders Quadrant at all. We see this dynamic play out in the field every day and it’s reflected in our strong competitive win rates and outstanding customer retention rate. We are thrilled with this recognition as it implies to the market that if you want a solution that has proven to work for you, Kinaxis is the responsible choice and how gratifying is that. Now on to Slide 6. We are dedicated to remaining both a product leader and a company that executes on its promises to our customers. This philosophy continues to be reflected through some go-to-market and product partnerships we announced in the quarter, including with Valantic, a regional systems integrator that has decades of experience successfully delivering supply chain solutions across Europe. We also announced agreements with Elixum and Climatiq, both being solution extension partners that complement our capabilities around production planning and scheduling and sustainability. Overall, our partner linked program, which includes all partner categories, has grown to more than 170 partners and over 2,500 certified consultants worldwide, making it one of the industry’s largest networks of supply chain transformation experts and specialists. We continue to rapidly add exciting brands to our customer base. In the quarter, we won the same number of new customers as we did a year ago. I am excited to be able to name just a few of the new brands that have joined the Kinaxis family. We are extremely pleased to welcome Harley Davidson, one of the most iconic motorcycle brands in the world. It’s so inspiring to be able to associate Kinaxis with leaders like this. We can also name two customers we won through our VAR channel, Dr. Wolff Group, a Germany-based provider of cosmetics and over-the-counter medical products, and the Taco Group, which offers interior products such as flooring based in Indonesia. I am very, very pleased with the momentum coming from the VAR channel. These, among some others, including a large automotive company in India and one of the world’s most recognized European luxury goods brands, are all great successes and reflect how we can serve companies of any size across diverse industries, anywhere in the world, all with the same powerful platform. I am also looking forward to being able to name some very large new enterprise customers as we progress through 2024. Now since the macro environment changed at the beginning of 2023, our largest opportunities have been the most time consuming to get across the line. Historically, these have been the biggest drivers of our ARR and SaaS growth. We continue to see great interest from companies wanting to transform outdated approaches to supply chain management and perhaps even more satisfying, several companies coming to us following failed attempts to deploy competitive solutions. I remain as excited as ever about the opportunities ahead. Earlier, I mentioned that we took another major step related to our focus on returning to higher profitability. In the first quarter, we started restructuring of our organization to focus on our next wave of growth, including eliminating roughly 6% of our workforce, a process that will be substantially complete in Q2. Supply chain markets continue to evolve rapidly and we are reshaping the organization to ensure the company is aimed at and able to capitalize on the very best opportunities ahead. Almost immediately, we will be reinvesting some of the savings from this initiative into key product innovations and go-to-market priorities throughout the remainder of the year and into 2025. While detailed plans are still underway, I can give you some examples of some of these themes. To accelerate our go-to-market efforts, we have tremendous opportunities to work even more closely with certain large strategic longstanding partners and this will require some additional investment to capitalize on. We also see an opportunity to reallocate some sales and marketing spending into customer-facing roles that will make a more direct impact on sales growth. On the product innovation side, we are working towards some very exciting announcements at Kinexions, which will include AI becoming an even more integral part of our platform. So we are reinvesting to align the skill sets in R&D accordingly. As part of the changes we have made to-date, I want to congratulate Claire Rychlewski, who has been promoted to Chief Sales Officer. Claire has been with us for over four years and began by successfully leading and growing our European sales team, then took on global sales responsibilities almost two years ago, working under Paul Carreiro. Paul led our sales functions through the fastest growing years and we are extremely grateful for his leadership over that time and wish him continued success ahead. Finally, I am pleased to be able to increase our adjusted EBITDA margin guidance for 2024 to 18% to 20%. We have committed to consistently achieving a 25% adjusted EBITDA margin within the next three years and we are making great progress towards this goal. Now I will turn the call over to Blaine to review the financials for the quarter and discuss our increased outlook in detail. Blaine?
Blaine Fitzgerald: Thank you, John, and good morning. As a reminder, unless noted otherwise, all figures reported on today’s call are in U.S. dollars under IFRS. Starting on Slide 7, I am pleased to report solid Q1 financial results. Total revenue in the first quarter was up 18% to $119.4 million. Our SaaS revenue grew 16% to $73.4 million and our Subscription term license revenue was $6.7 million, in line with the outlook we provided in last call. Subscription term licenses largely follow the normal cadence of renewals among our small group of on-premise customers or those that have the option to move their deployments on-prem. Professional Services activity resulted in $34.4 million in revenue for 30% growth over Q1 2023, an ongoing reflection of strong customer additions and expansions in recent periods. Maintenance and support revenue for the quarter was up 10% to $4.8 million. First quarter gross profit increased 20% to $72.9 million and gross margin in the quarter was 61%, up from 60% in the comparative period. The higher total gross margin results from a 17-point expansion in our Professional Services margin to 24%, reflecting strong demand, partially offset by a slightly lower software gross margin, which reflects our ongoing transition to public cloud first hosting model. Adjusted EBITDA was $22.7 million for a 19% margin, compared to 17% in the first quarter last year. Our profit in the quarter was $6.2 million or $0.21 per diluted share, compared to $0.04 in Q1 last year. As John mentioned, we are reshaping Kinaxis to ensure that we are aligned with the best opportunities ahead of us and that we remain on our path to higher profitability. Consequently, we have reduced our workforce by approximately 6% across functions and geographical regions. We estimate related costs will total between $5 million and $10 million, with $1.8 million of the amount recognized already in the first quarter of 2024. These charges impacted Q1 profit but not adjusted EBITDA as we view them as non-recurring and outside of normal operation. We expect the remaining costs to be recognized in the second quarter, by the end of which, we expect this initiative to be substantially complete. Cash flow from operating activities was $32 million, compared to $38.9 million in Q1 2023. Cash, cash equivalents and short-term investments grew to $303 million from $293 million at the end of 2023, despite investments in our share buyback, which I will discuss momentarily. On Slide 8, our annual recurring revenue or ARR grew to $327 million, an increase of 15% from Q1 2023. We won the same number of new accounts as we did in the first quarter last year, with the largest enterprise deals, a big part of our growth historically continue to be more difficult to get over the line in this environment. As a result, and as we experienced through 2023, average deal sizes continue to be smaller than previously experienced. Also, for the first time in over a year, ARR was negatively impacted by foreign exchange. Quarterly fluctuations in FX rates affected the balance by approximately $2.4 million. In constant currency, using Q1 2023 rate, ARR grew by 16%. On to Slide 9, at quarter end, our total remaining performance obligation was $734 million and SaaS RPO was $690 million for 29% and 31% growth, respectively. The three-year CAGR for both total RPO and SaaS RPO is an impressive 24%. I encourage you to focus on these excellent longer term results as quarterly results naturally fluctuate significantly with normal renewal cycles. Further details on our RPO can be found in the revenue note to our financials. On Slide 10, we are reiterating all the revenue metrics of our previously issued 2024 guidance. We are monitoring ARR growth and foreign exchange fluctuations closely as the year progresses. It is important that we see some of the deals in our pipeline with large enterprise customers close soon. As a housekeeping matter, I will remind you that we expect to recognize roughly 10% of our full year Subscription term license revenue guidance in Q2. We are pleased to raise our adjusted EBITDA margin guidance. We now expect to achieve a margin of 18% to 20% for the year, which reflects the workforce reduction and some reinvestment during 2024 into certain strategic areas particularly for go-to-market and product priorities. I remain confident in our goal to consistently delivering 25% adjusted EBITDA margin within the next three years, normalized for expected Subscription term license variability. On Slide 11, we have continued to be active on our normal course issuer bid, which allows us to purchase up to 5% of our stock or approximately 1.4 million shares. During the first quarter, we invested approximately $21.3 million to repurchase over 196,000 shares. Together with our activity last quarter, we have now purchased approximately 525,000 shares. We are pleased with these investments. Since our last call, we have made important changes to the organization, which together with future reinvestment will leave us in a stronger position in our market and with a stronger financial model to enable our success. I am excited for what lies ahead. I will now turn the call back to John.
John Sicard: Thank you, Blaine. Hopefully, you saw the comments in our earnings news release, thanking our longstanding Chair of the Board of Directors, Ian Giffen. Ian will be leaving the Board after Kinaxis’ upcoming annual meeting, having served as a Director of Kinaxis since 2010 and as Chair since 2018. As we noted, Ian’s achievements in business and governance are renowned in Canada and we can’t thank him enough for his countless contributions to Kinaxis and in service of our shareholders. Bob Courteau, who has sat on the Kinaxis Board since 2016, will be stepping into the role of Chair after the AGM. Previously, Bob was CEO of Altus Group, a well-known real estate software company and former President of SAP North America, as well as its COO of Global Customer Operations, among other senior management roles and directorships in his career. I look forward to continuing to work with Bob in his new role on the Kinaxis Board. The first quarter was an important one for us in many ways. Financial results were solid and a good start to the year. Customer wins remain strong and as some larger deals come to fruition, ARR will begin to better reflect the growth opportunity we see ahead of us. For the tenth consecutive time, Gartner recognized us as a significant leader in their Magic Quadrant and positioned us highest on ability to execute. We have reshaped our team for better focus on the best opportunities we have ahead of us. This allows for some reinvestment into high priority go-to-market and strategic product innovations and ultimately strengthens our financial plan. I am excited about the direction Kinaxis is headed towards and I am looking forward to talking more about our plans at Kinexions. Thank you for your ongoing interest in the company. I welcome your questions and I will turn the line over to the Operator to start the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Thanos Moschopoulos with BMO Capital Markets. Your line is now open.
Thanos Moschopoulos: Hi. Good morning. John, with respect to the large deals that have been delayed, just to clarify, have you been stuck in sort of a holding pattern or are they inching along, albeit more slowly than you would typically see in a better environment?
John Sicard: We are actually negotiating as we speak for some of these and the process is simply just taking longer after being sort of declared vendor of choice, what we call VOC, the process seems to be taking more time and becoming more difficult to get ink dry as I stated it. I think, especially the last two weeks, momentum has been striking. Just the last seven days, I have had at least three conversations with large enterprise. As I am going to assume it’s the result of the Gartner Magic Quadrant, but it’s been quite remarkable to have three phone calls, direct phone calls, reach outs with large enterprise. So I think momentum is there, but the macro conditions are just making these negotiations take significantly more time than in the past.
Thanos Moschopoulos: Thanks for the color. And just to clarify, are you seeing delays with respect to expansions with some large enterprise customers or are delays confined to new logo wins?
John Sicard: I am seeing it mostly on new logos, frankly, not so much on the expansion front. There’s a healthy pipeline of large enterprise, some that we expected to close in the first quarter and they continue to be quite active, let’s just say, into this one, and hopefully, we will be in a position to name those in the not-too-distant future. I haven’t seen the same with the existing base, no.
Thanos Moschopoulos: Okay. And finally, just given the enterprise delays in your mid-market and VAR traction, are we now at the point where mid-market and VAR represents more than half of your bookings?
Blaine Fitzgerald: Yes. So right now it doesn’t. We do have -- there’s really four elements I used to look at, large enterprise, enterprise, mid-market and SMB/VAR. Right now, we still have the majority coming from enterprise or large enterprise. But I would say this quarter, the majority of that came from enterprise.
Thanos Moschopoulos: Thanks. I will pass the line.
Operator: Our next question comes from Richard Tse with National Bank Financial. Your line is now open.
Richard Tse: Yes. Thank you. I have a sort of related question on the scaling of some of these deals that you have had over the past year. No doubt it seems like you have had a number of large enterprise wins there and they kind of came in perhaps at a compressed value of normally what they would be sort of signed at. So, where do we stand now in terms of taking those wins to kind of their, quote-unquote, normal stage or size?
Blaine Fitzgerald: Yeah. So it’s, obviously, early days on the expansion front for a lot of those new logos that we brought in, in 2023 and 2022. However, I’d say the percentage that I am seeing in the pipeline that comes from expansion is significantly higher than we have ever seen before. We were obviously low-double digits in the past in terms of what was represented in the pipeline from expansion or installed base opportunities. Today, that number is much larger and so we are seeing some significant expansions that are set up for 2024 in our current pipeline.
Richard Tse: Okay. Thanks. And just if you look at the restructuring initiative, I am kind of curious to get some understanding of what sort of triggered you to sort of make that call, and I guess, sort of recognize that you have to redeploy some of that savings towards some of these sort of product and go-to-market initiatives, like, maybe just help us kind of get a bit of feel for what prompted all that?
John Sicard: Sure. First, I would say, we had doubled the size of the company, I want to say, inside of a two-year to three-year period. And looking at the current state of the market and as it is evolving, I would call this a slight course correction rather than a new direction. And so this is really a situation where we see an opportunity to rebalance our, what I will call, talent density. There’s areas in which we had invested heavily in with some presumption of the market conditions and other areas which we are now realizing we need more capacity in. So this was an opportunity for us to reshape the organization based on the state of the business. I see this as, in the grand scheme of things, a responsible decision to look at the organization and take this opportunity to rebalance the talent density and ensure that we have all the right people, in the right spot at the right time. We are going to be focused primarily on go-to-market and strategic product innovations, which we will talk about pretty extensively at Kinexions and making sure that we are investing heavily in those areas. But obviously, go-to-market is a big part of that and ensuring that we are getting ready to take advantage of what’s ahead of us. The primary focus, as I mentioned in the earlier statements is, I’d say, a heavier investment in working with some of our largest, most longstanding partners and leveraging their enormous network of capability -- enormous network of sales capability. But those things take investments to bring to fruition. So that’s the -- that was the motivation, Richard, really a rebalancing exercise and a reshaping exercise, and so this is making it affordable and responsible for us.
Richard Tse: Okay. And just a super quick one here for me. A few years ago, you talked about kind of perhaps replicating what Salesforce did with Force.com. Is this big increase in the partner channel to like 170 a way of sort of replicating that strategy or is that sort of something incremental or different to that?
John Sicard: Well, this notion of becoming one ring to rule them all, to quote a famous movie, by leveraging a platform strategy is still very front and center for us. I think, frankly, as I mentioned in the earlier remarks, talking about large scale India-based automotive company and then one of the highest luxury goods companies in the world, the most iconic ones you think, wow, what do they have in common? With exactly one platform, that’s very much in line with our thesis here that in order to become the titan of supply chain, which is the motivation here, you have to be able to satisfy the needs of anyone supplying anything, any good, if you will, in the world and so the platform strategy is very key to that and we continue to invest heavily in that function. I was glad to be able to mention two additions to our solution extension partners today.
Richard Tse: Okay. Thank you.
Operator: Our next question comes from the line of Paul Treiber with RBC Capital Markets. Your line is now open.
Paul Treiber: Oh! Thanks very much and good morning. Just wanted -- hoping you can elaborate on your comment about rebalancing the talent density. Specifically, what areas were you -- do you see that you are overcapacity or maybe didn’t match current market conditions?
John Sicard: So, yeah, we are -- first, I will say that the 6% was quite uniform geographically. I just want to make that statement that we looked at the entire company across all areas of the organization and across all levels of function, leadership included, to make sure that we were creating an optimal state and providing the necessary funds to rebalance. Frankly, I’d rather not comment specifically on the areas where we are investing heavily in. Some of that will be perhaps a little more obvious at Kinexions when we describe some of the new product innovations that we are focused on. And the only other area I can mention again is and I hope in the very near future, we will be able to talk about this particular initiative we are working on with an extremely large longstanding partner of ours and investing heavily in that particular initiative.
Paul Treiber: And just a question on guidance. Blaine mentioned the delays and there’s obviously no change to guidance. At what point do you need to see the deals come to fruition before it may impact growth in 2024, or in other words, to what degree is there a buffer in guidance that already incorporates some of the slower, the longer deals here?
Blaine Fitzgerald: Yeah. I always like when you go in, have a buffer for guidance. We obviously are very confident in the 17% to 19% still, but Q2 is an important quarter for us. We have been obviously looking very closely at the large enterprise deals and we have a number that are sitting right now in Q2 that we hope to convert in that quarter. The more large enterprise deals that we get throughout the year will help us to, again, continue to confirm that guidance that we have in place. But at this stage, I think, we are completely focused on Q2. I think there’s a lot of great opportunities that are sitting there, including the large enterprise deals that we are talking to right now and we will kind of get back to you again at the end of Q2, if things come out better than we expected or if the opposite happens.
Paul Treiber: And then just one last one. Just in regards to Professional Services growth, it’s been very strong despite ARR slowing. I imagine that as that team works through the backlog there, but do you see eventually Professional Services aligning with ARR or would it be less than ARR if contribution from partners’ increases? So, how do you see the mix between Professional Services and ARR over time?
Blaine Fitzgerald: It’s a really good comment. I don’t necessarily think that would be aligned to ARR just because of the nature of that revenue stream that comes in. But again, what we do hope is that we start turning that growth that we are seeing on that part of the business slowing down and not because of the fact that we are not seeing good demand, it’s because we are intentionally trying to push that more towards partners. John mentioned that we have a lot of increased discussions around with our advisory now and that is intentional. We believe that this is the right path for us to go forward to help with our go-to-market activity on the software side of our business and to focus more on that area, which has a much higher margin that comes in. I do think that there is an opportunity to start seeing that 29% to 30% of total revenue coming down to a more reasonable number, obviously, closer to what our ARR is right now, but I don’t think they will be correlated in the future. I think it’s set to be completely two different revenue streams and growth patterns that we see.
Paul Treiber: Okay. Thanks for taking the questions.
Operator: Our next question comes from the line of Daniel Chan with TD Cowen. Your line is now open.
Daniel Chan: Hi. Good morning. APAC continued to decline for about three quarters in a row now and it’s been on a pretty steady downward trend for about one and a half years. Just wondering if you could provide some color around that?
Blaine Fitzgerald: Sure. Yeah. I think we went through a period -- it’s interesting because the numbers are generally they will happen after an event will take place, obviously, and then we will see that later on in the financial statements. I think at this stage we are actually going in the right direction. We have some nice surprises that we have been seeing on some momentum over there. I think we have a great new leader that is doing some really nice things to build our name in APAC, stronger than we have ever seen before. I think our partner network is going to be helping us a lot more in that region, which we have historically struggled in. But it’s something that I think we had a trough. I think we have gone through that trough. And what you are just seeing is the remnants of that activity that took place in the past. I think now we are actually on a slight upswing, which is I am hoping to see that momentum continue in the future.
Daniel Chan: Sounds good. And then maybe more of a competitive question. Blue Yonder just bought One Network. Just wondering how that affects the competitive dynamic and does it make you think about expanding your product portfolio? Thank you.
John Sicard: Yes. It’s a great question. And naturally, we have what I will call a value thesis for the market and when we are looking at acquisition opportunities, it’s always applied to that value thesis and so we are not just buying revenue, let’s just say, that’s just not our model. I can’t comment on their rationale for doing such a thing. It certainly doesn’t impact the way I think about our own thesis and what I would call responsible acquisition procedure in terms of how we look at things. So we are -- nothing to telegraph, if you will, immediately here, but we do have a pretty strong muscle around business development with an executive that is focused on that every single day. There are some interesting, I’d say, properties out there that would fall into the value thesis. As you would imagine, there are a lot of elements to determining whether an acquisition is sound business decision or not and so we continue along those lines. And so long as things fit our vision for the future of supply chain, then we will look at those things. I have to say, looking at the Gartner Magic Quadrant, I am going to point to this again, there’s nothing I am more proud of than being recognized for our ability to deliver on our promises. It’s more than just size and so on. If you make a promise, making a promise is easy, keeping a promise is 90% of the work, and so I am really thrilled that there’s so much space between Kinaxis and our competitors in that dynamic.
Daniel Chan: Thank you.
Operator: Our next question comes from the line of Stephanie Price with CIBC. Your line is now open.
Stephanie Price: Hi. Good morning. John, you mentioned investments in SI partners a few times. I was hoping you could give us a bit of update on your larger SI partner relationships? What you are seeing there, and if there’s been slowness with them as you work on these larger deals as well?
John Sicard: Yeah. I think there’s no surprise here that supply chain as a discipline continues to go through a lot of transformation post-pandemic. Many of the Chief Supply Chain Officers I speak to are saying things like, I need to leave it better than I got it. Many of them are realizing that the mechanisms that governed supply chain over the last 30 years may not survive the next three. They have to be rethinking about a generational shift in how supply chain is going to work. It’s not just the technologies, the new technologies that are now coming to bear, but it’s also the new techniques that are starting to manifest as providing great value. Now all of this is music to an SI’s ears. You are talking about a generational shift in what I would describe as the operating system of the planet, the supply chain. And so the largest SIs and many of which we have had strong relationships with for multiple years, see exactly what we are seeing, and of course, they are in every geography that matters. They are in privileged conversations that we are not in and so they can do things that we can’t do and we can do things they can’t do. So there’s a perfect opportunity here for us to establish a go-to-market strategy that takes the best of what we both have to offer and I think the ultimate result of that will be an acceleration into that market.
Stephanie Price: Okay. Thanks. That’s good color. And then just on the pipeline, in Q4, I think, you noted an all-time high in the pipeline, and just thinking about that versus Q1 ARR growth, like, is it primarily some large deals that came on to convert or is there a lot in the pipeline that’s in earlier stages as well? Just hoping to get a little bit more color on the pipeline here. Thanks.
John Sicard: I’d say the pipeline remains quite healthy. It absolutely is the large enterprise deals that are taking more time. In fact, the deals coming in from our VARs are remarkably faster. We would love to see our large enterprise deals fall into that category, where it’s measured in months and not years. But, yeah, right now, I’d say, the color on the pipeline is really just that. I was on the phone last night with one of our -- I’d say one of the largest life science companies in the planet and we are working to get the ink dry on that. So it’s just taking long. That’s what we are seeing more than anything else.
Stephanie Price: Great. Thank you very much.
Operator: Our next question comes from the line of Martin Toner with ATB Capital Markets. Your line is now open.
Martin Toner: Good morning. Thanks for taking the question. In the past, you have talked about the amount of growth coming from existing customers versus new. Can you talk a little bit about that, how that land-and-expand strategy is contributing to growth at the moment?
Blaine Fitzgerald: Sure. So, I guess, at the year-end or in 2023, we talked about we were around 60-40, meaning that we have 60% of our new ARR coming from the new customers and the expand was about 40%. That’s pretty similar to what we had in Q1. It’s not representative of what we are seeing right now in our current pipeline. I will say that Q4, as an example, has a substantial amount of expansion activity sitting there right now. But we -- overall, we are continuing to focus a little bit more on the expansion side of our business. I feel I am being brought into more and more discussions to try and understand how we can expand and upsell and cross-sell the expanded opportunities and modules and solutions that we have in place. But also a lot of -- a large part of this is trying to make sure that we match the value needed from our customers with their current health and where they are at. But as of right now, I’d say, the future pipeline looks a little bit more heavily weighted on expansion than we have seen previously.
Martin Toner: Thanks for that. At Kinexions, a big focus was extending the product and its functionality into supply chain execution, which you guys have talked about as quite a large market. Can you talk a little bit about whether or not that’s impacting results now and how you think it might going forward?
John Sicard: Yeah. So, certainly, we are pleased with having won some business even in Q1 around supply chain execution. One of the largest opportunities ahead of us this year is in supply chain execution. I think that what we are describing as supply chain orchestration, which is the fusion between planning and execution, is really taking traction. I think this is one of the areas of innovation that we are hyper focused on. This isn’t a new concept. If you are a supply chain practitioner and you talk about the fusion of planning and execution, you might think, man, we were talking about that 15 years ago. It just was impossible then and so we are certainly investing and proving it, not just saying it works but proving it. So we are quite excited about where we are. There’s still some work to do. It’s not easy. If it were easy, others would have solved this. We are being told by some of the large analysts that there’s really only a handful of companies in the world attempting it. We are one. I might believe we are the furthest along. I want to believe that. And so we are going to continue to invest in that thesis. You will see a lot more about that at Kinexions, for sure. And if anything, I think it’s going to have an impact on our future success, because we will be, if not the only, one of the only companies in the world that are capable of proving that such a fusion is possible.
Martin Toner: Got you. Thanks for all that. Last one for me. How is the retail/res -- hospitality, restaurant vertical looking at this?
John Sicard: Yeah. So we are thrilled to be able to say that we are live with the, well, one of the largest quick service restaurants in the world and the results are nothing short of outstanding we are -- in terms of both the demand side and the replenishment side. So we are really happy with our progress there. We have more opportunities, I’d say, that we are working with through our HAVI relationship and we have implemented another QSR brand as well along the way that we can’t mention, but we are equally thrilled with our progress with them. And it’s -- I’d say, a very strategic area for us and breaking into retail, we are going to continue to focus on QSR, but ultimately, it’s a path to retail.
Martin Toner: That’s great. Thanks, John. That’s it for me. I will pass the line.
Operator: Our next question comes from the line of Doug Taylor with Canaccord. Your line is now open.
Doug Taylor: Thank you. Good morning. A question for Blaine, last quarter you talked about the 800 basis points of temporary EBITDA impact related to both the cloud duplicate costs and also the cyclical STLs. So the question is with the -- I just wanted to confirm whether the restructuring has any impact on bringing any of that savings forward and maybe just get you to comment on the progress with the cloud transition initiative overall?
Blaine Fitzgerald: Sure. So it would be -- as I mentioned last quarter, there is a normalization impact that we do internally just to understand are we tracking in the right direction and can we compare ourselves to how we had seen adjusted EBITDA in the past. The two main components is the costs that are associated with migrating over to public cloud and then the second piece is the normalization that we have on Subscription term license. In Q1, I can say that we had an advantage from the Subscription term license because we had a higher amount of revenue than you would expect on an average quarter and so that was about 1% normalization impact that you would have. But public cloud is still around 5%. And so when you net those of, it’s about 4% difference that we have and if we go with what we have just increased our guidance to, 18% to 20%, we are still looking that we think there is a 4% impact on that normalization that we have in place at least for Q1. The other piece I would throw out is, we absolutely had no impact on our cloud services and the migration over to public cloud in the future. The rebalancing was focused on we know that this is an important thing. Maybe just to reiterate why this rebalancing is so important for us, like, over the past year, one of the things that has come up is we have seen so many different opportunities. There’s been a lot of questions as can we put more into AI, can we put more into like integrations around our platform, can we put more into having indirect sales with our partners. And the answer has been we have a path towards getting to a certain profitability level. The answer is no at that stage because we had other investments we were doing. So what we have done over the last little while is to go back and figure out how can we not say no to these very important investments that we need to make and go forward now. Cloud and going to public cloud is an important investment for us. We are not changing our direction. We are continuing to move forward in the exact same direction we have had. We know how important it is for us to scale up at the appropriate level. So that is -- it’s not one of those things we had to say we are going to take this off because of other investments. That is continue to do it. But we have other investments we need to make in the future and we are going to continue to do that going forward. So the rebalancing has no impact on our migration to public cloud.
Doug Taylor: Appreciate the color. I will pass the line. Thanks.
Operator: Our next question comes from the line of Mark Schappel with Loop Capital Markets. Your line is now open.
Mark Schappel: Hi. Thank you for taking my question. John, building on an earlier question, the sales organization appears to have a lot on its plate currently, given the restructuring and the appointment of a new sales officer. I was just wondering if you could just provide additional details on maybe some changes we can expect to the sales team and the go-to-market motion in the coming quarters or two?
John Sicard: Yeah. So it’s certainly early days for Claire in her new role. That said, she’s no shrinking violet. So she’s also made some great changes thus far, and obviously, been part of our strategy, our go-to-market strategy discussions. As I said previously, one of the areas that we will be eager to share, when the timing is right, is the strategy around leveraging some of our largest partners as part of that go-to-market strategy. So stay tuned for that. That takes some investment. It takes, what I will call, some talent density changes within sales. So we are going to continue, obviously, to invest in sales against our opportunities here that we see in front of us. I’d say the only color I would add is, a -- I’d say a focus on leveraging more our partner relationships and turning that equation into one plus one equals three. That’s really the real attention grabber let’s just say, as it relates to our go-to-market investments.
Mark Schappel: Great. Thank you.
Operator: Our next question comes from the line of Suthan Sukumar with Stifel. Your line is now open.
Suthan Sukumar: Good morning, gents. First question I had is with respect to the pipeline, with respect to really new deals in your pipeline and earlier-stage conversations that you are having with prospects. What would you call out as having changed the most with respect to scope and requirements for these newer projects?
John Sicard: Scope is really dependent on the vertical itself. We are speaking to prospects that tell us we are going to sell 100% of what we manufacture. The issue is how we allocate finished goods that come out of the other end. And in other cases, demand is wildly variable and supply is consistent, and then we have customers that deal with variability on both sides. So it really does depend on the industry itself that drives the ultimate use cases. In the end, they all have one thing in common. It’s an inability to absorb volatility and the ferocity and velocity of volatility is increasing. It’s sort of a uniform truth in supply chain. And so the way it’s described to me is, let’s just say I tend to focus on those macro conditions first with any prospect because they all suffer from the same element. It might be slightly different from a different chain link, but they all suffer from the same element. I don’t see any difference, frankly in terms of the conversations we have and the other thing is I don’t see any difference between companies that do under $100 million, of which we have customers or customers that do $400 billion or more and we have customers like that too and they talk very much about the business problems in the same way.
Suthan Sukumar: Great. Thank you. My second question, John, just wanted to touch on inorganic growth. You guys spoke to that a little bit here in the call. But just at a high level here, how important is M&A as part of your broader growth strategy and what has changed with respect to your priorities for future M&A?
John Sicard: I have talked about it before, what I will call the value thesis here is around, perhaps, the words I will use are supply chain orchestration and I know those are just words, but in my mind, it’s the fusion between planning and execution. I have said this before, I think, supply chain planning may become a term that will be obsolete in the not too distant future. You won’t do planning without execution. You won’t do supply chain execution without understanding the implications to your plan and your promises to the street and so on. And so, when I think about our acquisition strategy, first, I would say, I am not a roll-up company. I am not a company looking to just roll up revenue and there’s no quote Danaher system to follow here at Kinaxis. So we are looking very much under a value thesis that follows that mission of fusing planning and execution together. There are a lot of areas of supply chain that we have not tackled yet and so we are looking at opportunities that are either acquihires that could help us accelerate those value propositions into RapidResponse. They might be in areas like FP&A, for example, you might think that’s odd. But FP&A is an area that directly impacts supply chain and a lot of companies that deal with cash preservation that would be extremely well received to have supply chain planning and execution and FP&A all rolled into one. Certainly, areas around logistics, warehousing, there’s various areas like that, that are part of the overall thesis that we can either acquire or do acquihires to accelerate our value proposition.
Suthan Sukumar: Okay. Okay. Great. Thank you, John. I will pass the line.
John Sicard: Thank you.
Operator: Our next question comes from Kevin Krishnaratne with Scotiabank. Your line is now open.
Kevin Krishnaratne: Hey, there. Good morning. Just one for me. You are calling out FX as being notably impacting ARR growth more, I think, it was a 1% impact in Q1. How does FX implicate your SaaS guidance for the year that was maintained 17% to 19%? In other words, could the guidance have been raised were it not for what you are seeing in FX? Just any comments there, Blaine. Appreciate it.
Blaine Fitzgerald: Sure. So for FX, for ARR, it was generally euro and Japanese yen that had the biggest impact on ARR which has a, like, a point in time type of calculation. For the SaaS revenue and total revenue guidance, there -- I have to say there’s very little things that FX could do right now that would have made us increase at this stage. I think there is a -- we obviously look at British pound, we look at euro, we look at Japanese yen, all of which have an impact on it. But in Q1, we had for the purposes of revenue, we had a little bit of an upswing because of GBP or the British pound but that was offset by Japanese yen. And so, we know that FX can be volatile, it can change, especially in a U.S. election year, we are keeping a close eye on what happens throughout the year. But we are -- at this stage, I think, probably, very little that it would have done to make us increase guidance because of FX, but we are making sure that it does not obviously put us at risk of falling out of our guidance right now.
Kevin Krishnaratne: Great. Thanks very much. I will pass the line.
Operator: There are no further questions. I will now turn the call back over to Mr. Wadsworth.
Rick Wadsworth: Thank you, Operator, and thank you, everyone, for participating on today’s call. We appreciate your questions as always and your ongoing interest in and support of Kinaxis. We look forward to speaking with you again when we report our second quarter results. Bye for now.
Operator: This concludes today’s call. You may now disconnect.